Operator: Good day, ladies and gentlemen and welcome to the Coupa Software First Quarter Fiscal Year 2020 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. At the conclusion of our prepared remarks, we will conduct a question-and-answer session.  As a reminder, this call is being recorded. I would now like to turn the call over to your host for today’s conference call, Ms. Nicole Noutsios, Investor Relations. Ms. Noutsios, you may begin your conference.
Nicole Noutsios: Good afternoon and welcome to Coupa Software’s first quarter conference call. Joining me today are Rob Bernshteyn, Coupa’s CEO and Todd Ford, Coupa’s CFO. Our remarks today include forward-looking statements about guidance and future results of operations, strategies, market size, products, competitive position, potential growth opportunities. Our actual results may be materially different. Forward-looking statements involve risks, uncertainties and assumptions that are described in our most recently filed 10-K. These forward-looking statements are based on our beliefs and assumptions today and we disclaim any obligation to update any forward-looking statements. This call is replayed after today. The information presented may not contain current or accurate information. We also present both GAAP and non-GAAP financial measures. A reconciliation of certain of these measures is included in today’s earnings release, which you can find on our IR website. A replay of this call will also be available. And if you prefer to access the replay via phone, you can find the information on their earnings release. Unless otherwise stated growth out comparisons are against the same period of the prior year. With that, I will turn the call over to Rob.
Rob Bernshteyn: Hello, everyone and thank you for joining us. I am once again delighted to update you on our business. Starting out with a few highlights, in Q1, we achieved record quarterly revenues of $81 million, up 44% year-over-year; record quarterly subscription revenues of $73 million, up 46% year-over-year and record Q1 calculated billings of $75 million, up 50% year-over-year. These and other robust financial results we achieved in the quarter reflect the overall strength and the vitality of our business. We are making measured strides in fulfilling our vision of what business spend management should be for companies around the world and we are doing our part in pushing our dynamic agenda to the broader enterprise software industry. With that, I have got lots of exciting business updates from the quarter, so let’s dive in. Let’s start with our most recent customer go-lives. Our commitments to new customers, is to accelerate the value they will generate through the Coupa platform as captured by the Letter A in Coupa. We proudly offer a time to value proposition that’s simply cannot be matched in our industry, leveraging the expertise and best practices we have honed over the last 10 plus years. Also, our rich ecosystem of trained implementation partners, including Accenture, Deloitte and KPMG and a host of other partners amplifies our ability to get Coupa customers up and running quickly, while also adding leverage to our sales and marketing efforts. In Q1, more than 35 customers went live on Coupa and all but a handful of these deployments were led by partners.
Todd Ford: Thanks, Rob and good afternoon everyone. We have continued to execute and deliver on the commitments we’ve made to our stakeholders and I am pleased to report strong results across all key financial metrics for the first quarter.
Operator: Thank you, Mr. Ford.  Your first question comes from the line of Brent Bracelin from KeyBanc. Your line is open.
Brent Bracelin: Thank you for taking the question. I guess, first, we’ll start off here with Todd. Strength in the quarter uncharacteristically strong in Q1, I mean, obviously, typically we see Q1 being more seasonally weak quarter, what drove the strength in Q1? And I have one follow-up as well.
Rob Bernshteyn: Is that meant for Todd, or would you like me to take that. This is Rob.
Brent Bracelin: Rob, why don’t you take that? I have a follow-up for Todd as well.
Rob Bernshteyn: Sure. So well, we’ve been building this business, as I mentioned in the opening remarks, for over 40 quarters and we don’t look really at one quarter that’s a little better or one quarter that’s a little lower as an indicator of any kind of significant trend. But I would tell you that when we were on the roadshow going public, our primary driver was to get to a position where we had the rightful legitimacy in the marketplace to get into what we call the early adopter cycle with some of the largest companies in the world taken us very, very seriously. But one or two quarters in, we weren’t sure if we had enough statistically significant data to suggest whether or not that legitimacy had helped us as we pushed our way into the market. I would say now, 10 plus quarters in, it’s quite clear that that legitimacy is there. We’re taking on some of the largest most complex multinational deployments in the world, multi-country, multi-lingual, multi-currency, massive amounts of complexity and we’re getting these customers live and through the reference ability and legitimacy that we’re creating in a market, we’re starting to get closer and closer to what many would call a tipping point in winning a very, very large total addressable market. And when you look at that at it from that broad sense and then zoom into a given quarter, that’ll give you some more context as to how, I think, we’re doing overall.
Brent Bracelin: Got it. So, it sounds like you are seeing good customer pull as well. And Todd for you, obviously you talked a little bit about kind of global expansion, could you just remind us what percent of revenue is international today and the pace of growth there? Thanks.
Todd Ford: Sure. International continues to be a big growth market for us. As Rob mentioned, we landed our first significant account in Japan and several accounts in South Africa as well. If you look year-over-year, the geographic revenue split is relatively the same, because we’re growing in all markets, but US revenue contribution was about 62% and non-US at 38%. And one of the things we talked about in Q4 that we’re continuing to do is invest heavily in our go-to-market teams, particularly in APAC and some other international regions.
Brent Bracelin: Great, thank you.
Operator: Your next question comes from the line of Bradley Sills from Bank of America/Merrill Lynch. Your line is open.
Bradley Sills: Great. Thanks guys for taking my question. It looks like a great quarter here. If I read into it properly, you’re seeing, I think, larger new deals come in here, just given the beat here and the customer count metric, the new customer count metric, what’s driving that? Is it customers starting with more spend under management initially, or you just getting into that more of those kind of global organizations, just by definition these are larger organizations, or customers starting with a bigger footprint across the suite? How would you describe that?
Rob Bernshteyn: Sure and thanks for that question. If you look historically, virtually every quarter over this 40 plus quarters that we’ve been at this, we’ve grown our annual subscription value per deal and that growth is really aligned with the amount of value that we can offer the kinds of customers that are joining us, they’re getting more robust functionality, they’re getting much broader depth of adoption, they’re getting the ability to solve more complex problems and that’s commensurate with the annual subscription price we’re charging them. So that’s really the heart of it, there were, as we’ve grown, hurdles to overcome as we went international, as we took on a larger and larger footprint. But we feel really confident in terms of having overcome all those hurdles to the extent that we could support some of the largest organizations in the world and at the same time be able to very dynamically and quickly configure solutions for mid-market customers. So the business is really working on all cylinders as far as that’s concerned.
Bradley Sills: Great. Thanks, Rob. And one more if I may please on some of the power apps any ones that stood out this quarter say versus a year ago that you are seeing real momentum either in new business or cross-sell?
Rob Bernshteyn: It’s really exciting – thank you for that question. What was really exciting about it is that we have always focused building our platform and our business in a way where we can be – we can offer the greatest amount of value in an accelerated way to our customers. So we want the entry point to be – on to the Coupa platform to be via any vehicle that can deliver the greatest value to the customer or the area that’s the least friction to get in and start driving value. So we see it begin with spend analysis. We see it begin with customer contract life cycle management most recently. We see it begin with complex sourcing optimization. We’ve seen it begin with supplier risk assessment. And many times and frankly more often, we see it begin with the capture of transactional spend out the gate. So the procurement invoicing, expenses, which is coming up very quickly or payments, so there is no distinct pattern that I think is statistically significant enough to say this is the entry point, it depends based on industry, based on company size and based on the particular pain points that this distinct customer is dealing with. But the beauty of our solution is that you could begin with any component of the Swiss Army Knife, if you will, and then ultimately get the full value of the offer.
Bradley Sills: That’s great. Thanks, Rob.
Operator: Your next question comes from the line of Mark Murphy with JPMorgan. Your line is open.
Mark Murphy: Yes, thank you very much. Rob, I am curious where you think we are in the depreciation cycle of some of the old aging legacy types of procurement systems that might be ripe for renewal with a modern system like Coupa? And what I mean by that is, do you see that there is a replacement cycle coming at you, or is it more of a haphazard kind of inconsistent pattern?
Rob Bernshteyn: I would say for the – thank you, Mark. I would say for the most part, still relatively haphazard inconsistent approach. We see some that know they have to replace a lot of legacy capabilities and they’re getting – they are proactive about it and they reach out to us and of course we’re on the front end of that and we do really well with those. There are some that wait a little bit longer and there are many that are out there. Still, obviously, they need to actually take this very seriously. So I think it’s still a bit haphazard, but the opportunity is clearly there. And what I think what’s really helping us is the reference ability of our customer base that has made those conversions from incumbent solutions. They’re getting real measurable value, they can see it, they have end user delight, they have financial benefit, and so they are helping kind of evangelize what the opportunity is for many of the folks that either bought Shelfware or in some cases vaporware or have bought certain things that are very, very – have very, very low deployment and adoption. And so, we anticipate that to continue.
Mark Murphy: Thank you. Just as a follow-up, Rob. A couple of quarters ago, you had mentioned some of your data on purchase order approval times stretching out a little, some of the rejection rates rising, I believe it was contained in financial services, in manufacturing verticals and, of course, we realize that commentary is completely distinct from Coupa’s own fundamentals. We were trying to separate that out. But based on what you said, I think you said that the spend index had a positive indication for the next three to six months. Could you just comment on those trends, kind of, relative to a couple of quarters ago? And are you kind of sensing that that’s trending in the right direction, right now?
Rob Bernshteyn: Sure. Thank you, friend. Thank you for drawing that distinction between our customer base and what we’re seeing and what we’re now putting out as the Coupa business spend index. And so the first version of that obviously was released in April for Q1 and indeed it was very positive for all industries manufacturing being the one that was the least positive relative to the positivity of all of them. But I will tell you, Mark, we will next month release the Q2 Coupa business spend index and we will share it both at an aggregate level as well as by industry, so stay tuned to that. That should give us a real – a good sense of things to come.
Mark Murphy: Thank you.
Operator: Your next question comes from the line of Terry Tillman from SunTrust. Your line is open.
Terry Tillman: Hey, good afternoon, gentlemen. Rob, I guess the first question, just kind of going back to it. It seems like it was like yesterday, the Analyst Day, it seems like the power of data that you increasingly have with the platform and all the transactional spend, so maybe just – the first question for you is on community intelligence, what you’re seeing in sales cycles and attach rate with the early components of community intelligence that you’ve released so far? And then I have a follow-up for Todd.
Rob Bernshteyn: Sure. Thank you for that question, Terry. I mean, this is just so exciting for us not only among our customer community, but among our employee base as well. As we’re starting to see these prescriptive insights present themselves in a way that we could offer distinct value for every individual customer based on the collective intelligence of the customer community, right. So we’ve seen really strong uplift in our Risk Aware product, for example, in our commodity insights offerings, in our bench-marking offerings, and just with this last release with Spend Guard, we’re bringing forth intelligence as to how to avoid spent fraud across every component of spend from expensing to procurement to invoicing, so it continues to be a very distinct capabilities that our community of customers now that starting to really understand, because they are seeing the value being exposed. And I think in coming quarters, we’re going to have a chance to really take it to the next level. It goes well beyond creating barriers to entry for our business. It goes toward creating a non-linear value driver for every one of our customers and it’s absolutely beginning to resonate in the way that we had always hoped.
Terry Tillman: Okay. Alright, Thanks. And then, Todd, a quick question for the CLM acquisition. I know that there is adjustments in accounting, purchase accounting adjustments and then 606, so it’s going to be noisy, but just anything on the run rate of the business? And as we think about into the next fiscal year, I’m not trying to get into, by the way, of giving guidance next year of what you want to, but like – it seems like there could be an acceleration next year, because then some of these headwinds around these acquisitions start to reverse? Thank you.
Todd Ford: Yes, it’s a good point and a similar as we acknowledged with Hiperos and there is a big deferred revenue haircut and you have to rebuild that deferred revenue and then recognize revenue as that deferred revenue bleeds off. Clearly, we’re not going to give guidance on FY2021 yet, but I think it is fair to ask what we would expect on a – for next year with respect to Exari, given it was a large acquisition. And at this point and we’ll see how things roll in with 606 in the deferred revenue haircut, but when you look at FY 2021 we would expect Exari to contribute revenues of approximately $25 million.
Terry Tillman: Okay, thanks. Nice job.
Operator: Your next question comes from the line of Raimo Lenschow from Barclays. Your line is open.
Raimo Lenschow: Hey, congrats on an amazing Q1 from me as well. Rob, can you talk a little bit about the customer feedback you’ve got off to the Exari announcement, obviously you saw some clients this quarter, like how are you thinking about it? And if you think about adoption, is there going to be like – what are they think in terms of waiting for you to integrate it fully versus kind of going ahead already and what are the plans term? Thank you.
Rob Bernshteyn: Sure, sure. Thanks for the question, Raimo. So I have a very distinct view on this space of contract life cycle management and that it has a great deal of value, but that value really presents itself when integrated into a transactional platform. And if you look at some of the best-in-class reports out there by folks around the adoption of CLM as a stand-alone, you’ll find that the vast majority of them use it primarily as a centralized contracts repository, but they’re not getting all of the value that they could be from the whole life cycle of requesting a contracts to creation, approval, negotiation, all of the compliance components and alerts the contracts that are going to expire and whether or not you spending against them and optimizing the contract lifecycle of soup to nuts. So, the few – and it’s still – it’s just a few existing customers and prospective customers I’ve spoken to since we completed the acquisition very recently. There was a great deal of interest in not only having them from one provider being Coupa, because of what we think is a distinct customer success oriented culture, because of the speed of deployment, because of our focus on integration and value creation, but also because they see the synergy of having those capabilities made real through our transactional engine. So they’re not necessarily waiting for any distinct primary integration hooks, but I can tell you we’re already well under way on integrating not only the ability to sign on to both applications seamlessly and have a seamless user experience, but also in the business use cases where you take contracts that are completed in a best-in-class Coupa CLM and made real through transactional spend inorganic core. So, we couldn’t be more excited about it.
Raimo Lenschow: Perfect. And maybe one follow-up for Todd, Todd, can you just – you mentioned a more back-end nature of the year, can you just – as you – if I think about the second half, is this kind of more Q4 versus Q3 or is it equal? Just a little bit more color there would be nice. Thank you.
Todd Ford: Yes. It would definitely be more weighted toward Q4 than Q3, and just given typical enterprise software seasonality, majority of the new business is booked and the renewals come up in Q4. So from a cash flow perspective with respect to not only Coupa, but the acquisitions we’ve done I would expect it to be more back-end loaded with us taking some of the cash flow hit in Q2 with respect to Exari and a little bit from Inspire.
Raimo Lenschow: Perfect. Thank you. Congrats.
Operator: Your next question comes from the line of Ryan MacDonald from Needham. Your line is open.
Ryan MacDonald: Yes. Good afternoon, Rob and Todd. Congrats on the great quarter. I guess just touching on Exari, it seems like they’ve got a pretty good footprint I think in the financial services vertical and also I guess from a geographic perspective has had some nice success in EMEA. Can you talk about sort of what assets they have or they bring to the table in terms of expanding that go-to-market both from a vertical perspective and a geographic perspective?
Rob Bernshteyn: Well, I would say to you the number one asset they bring are their people and these are our new colleagues, they are excited to be part of this journey around creating a best-in-class Business Spend Management experience that drives value for customers. That’s number one. And with that comes a great deal of domain expertise and the depth and breadth of this area that’s so important to many companies. Underneath that is, of course, a very robust platform that is able to support the entire lifecycle of contracts in a way that very, very few in that category have been able to do for some of the largest companies in the world and across a whole host of different industry. I would say I am particularly excited about the contract types that they’re able to support and the way that they use AI-powered data extraction to get contracts into the system, so that they can be optimized for transactional spend and I think we’re in a very unique situation to have brought this product asset into the Coupa fold, but even more so excited about the people and their excitement to join us on this journey.
Ryan MacDonald: Got it. And then just a quick follow-up, I think you mentioned in response to an earlier question that you’re winning larger customers with more complex scenarios and implementations. Over it seem like earlier in the call that those implementation times have actually been compressing, can you kind of reconcile that a bit and talk a bit about any potential incremental investments you need to make to address those more complex scenarios moving forward?
Rob Bernshteyn: Yes. Thank you for bringing out that what’s seemingly a paradox and I will explain that, because I think it’s phenomenal. We’re seeing some of the largest companies in the world not so much coming to us with the traditional 150-page RFPs trying to figure out how we might be able to support their complexity. They are more and more coming to us asking us for support in delivering a, best practices thoughtful results-oriented deployment for them. And that is, in my mind, a very distinct change that what we’re seeing just perhaps two to three years ago, where it was, can you do everything we want? Now it’s, can you do the things that you believe are going to get us the best-in-class in this category and then elements around this core spend management category that of course we define as BSM? That’s a big change and it’s a phenomenal one for us.
Ryan MacDonald: Great. Thanks very much.
Operator: Your next question comes from the line of Stan Zlotsky from Morgan Stanley. Your line is open.
Stan Zlotsky: Hi, guys. Good afternoon. I apologize for the background noise. Just wanted to go back to the U.S. Postal Service, when would you announced on the Q1 call, which is very impressive, and we certainly  an update on the U.S. RPS specifically, but how’s federal pipeline looking for the rest of the year? And then I have a quick follow-up.
Rob Bernshteyn: Well, the pipeline continues to develop, Stan. This was a very exciting deal for us, obviously, that we shared last quarter. But I would say, overall, in federal we continue to develop and cultivate a strong pipeline, we continue to make significant strides in the product areas to ensure that we have all the boxes checked that a whole host of federal, state, local and educational institutions will be interested in deploying our Business Spend Management platform. So, a lot of steady progress continues to be made in the area of federal and we’ll certainly keep you posted as there are key milestones or events worth calling out.
Stan Zlotsky: Okay, perfect. Thank you. And then I have quick follow-up for Todd. On the inorganic contributions, can you enlighten us what the inorganic contribution was in Q1? And you talked about the 606 impact to Exari and you’re not expecting too much from a revenue perspective, but how should we think about Exari and as well as Hiperos for the rest of this year? Thank you.
Todd Ford: Yes. So, with respect to Hiperos, as we noted on the last call, the beginning deferred revenue balance at the end of Q4 was roughly $6 million and we expect that to bleed in and the billings that were in Q1 were minimal. And if you look at what drove the out-performance in Q1 from a billings and revenue, it really was execution on the sales front and in the linearity of the bookings. But if you look at the trailing 12-month revenue growth rate 41% versus 39% last year and the billings growth rate of 44% at the end of Q1 on a trailing 12-month basis versus 41% in Q1, that growth was really driven by the new business acquisition. And then with respect to breaking out M&A, as we have in the past, we will continue to provide data that provides meaningful comparisons, but we don’t intend to break out all the financial details every quarter.
Stan Zlotsky: Got it. Thank you.
Operator: Your next question comes from the line of Yao Chew from RBC Capital Markets. Your line is open.
Yao Chew: Hi, everyone. Congrats on the quarter, and thanks for taking my question. You guys have done incredibly well with integrating the companies you bought so far, but I have a high-level question here around the Business Spend Management category as a whole. It seems the category in general is heating up with both partner growth and competitors taking a recent round of funding, I value in particular talking about doubling headcount over the next 18 months or so, can you speak to this a bit more? Do you run into them? Competitively, can you speak to win rates of Well-done, but more importantly can you speak to competition for the assets you’re looking for an M&A processes as more capital to the sector, inflated sort of expectations, one should use more meaningful competition or you still the buyer of choice of these assets?
Rob Bernshteyn: Well, I can tell you that we’ve done quite a few acquisitions over our 10 plus years in building out this business and in every case, we’ve known the company and the people within the company that we acquired for a significant period of time. In some cases, seven years, in some cases a few years, gotten to know the leader, gotten to know the culture, gotten to know what it is that they really offer for the long-term if they are part of us. So, we look for that type of synergy. We haven’t been in a situation where we’re dealing directly with another competitive bidder in acquiring any of the assets that we’ve acquired to-date. So, I can tell you that has to do with having that vision lock with that company that we’re going out to acquire well before we go out on the journey of the acquisition. Now, as you were talking about potential competitors, in general, I can tell you that now the only competition we really see in our market is ourselves. We have a very distinct and innovative approach that’s very different than anything that’s been done before in Business Spend Management. As you know, we’re a comprehensive, open, user-centric, prescriptive with large amounts of volumes of data on one unified cloud platform and, as discussed earlier, we’re getting these customers live and accelerated way in driving meaningful value to them. So the last thing I’d say is that, we are currently positioned as the leader in Business Spend Management proudly, but any activity, a movement in the space, including new capital investments, it’s ultimately buoyant for the entire industry and we think it’s healthy over the long-term, but we continue to focus on what we offer and that’s value-as-a-service for our customers.
Yao Chew: That’s great. Thank you.
Operator: Your next question comes from the line of Joseph Foresi from Cantor Fitzgerald. Please go ahead.
Joseph Foresi: Hi. I wonder if we could get an update on your progress on the payment processing side? And I just wanted to get a sense of sort of anything that’s changed anything as updated, I know we’ve talked about a potential, maybe, dashboard where procurement could see all the different pieces of the process, although maybe we could start with an update there.
Rob Bernshteyn: Sure, sure. So, regarding the timeline, the roadmap, as we stated in our past that typical timeline for these new major areas of product development is that we continue to announce them at our conference as we first come out with something that’s in development, then early access, and then we fully take it GA. And we’re still operating in that timeline. We first announced our four inter payments in May of last year, we moved our way into virtual pay, virtual credit cards, excuse me, moved our way into dynamic discounting or Coupa Accelerate and now we are in early access with Coupa Invoice payments. Now we have dozens of customers adopting our solutions now. We are managing now thousands of transactions. So, it remains a very, very healthy new set of capabilities we brought out to our customer community and we’ll continue to monitor that as we get to levels. They are worthy of sharing you with you distinctly. We’ll definitely won’t be sharing that long now.
Operator: Your next question comes from the line of Joseph Vafi from Loop Capital. Your line is now open.
Joseph Vafi: Hi, guys. Let me go add my congratulations here again. Maybe can we talk a little bit about the partners here relative to implementation times. I know on one of the previous questions, you said that perhaps your methodology your platform is being adopted as a best practice methodology as well as a piece of software, are the integrators helping influence that decision by some other customers now? I have a follow-up. Thanks.
Rob Bernshteyn: Sure, sure, Joseph. So, look, we continue to have strong partnerships with our global systems integrators and that’s both domestically and certainly internationally as well. And I would tell you that a good leading indicator to that success is when we see deals that come up and close a lot quicker, because the systems integrator says we are supposed to be agnostic, but realistically this is by far the best thing that you should be looking at Mr. and Mrs. prospective customer. So as time goes on, we’re seeing more and more pull from these partners to get them certified on Coupa. Now, we’ve certified thousands of folks on Coupa, so they’re getting really, really good at best practices style deployments and that makes its way around the industry. People start to understand what it is to get a solution deployed quickly and they realized that it opens up the opportunity for that GSI to go up in the stack in terms of the offering and the value they could drive for their customers, they could focus on spend management transformation, they could focus on a whole host of value-adds beyond configuration and low value work that we’ve made a lot easier for them. So, it creates a win-win-win and the industry is learning about that and the success cases are presenting themselves and that creates a very nice virtuous cycle for us to continue to cultivate.
Joseph Vafi: Okay, that’s helpful. And then just circling back to the Coupa Pay module, I know it sounds like you’re adopting some of the banking technologies that are out in the marketplace today and providing early access to some customers for Coupa Invoice Pay, I was wondering how do you choose those potential early access customers, or are these customers that want a solution, they need the solution more than others perhaps or how does that work? Thanks a lot.
Rob Bernshteyn: Sure. Thank you. It’s such a great question. We have this incredible customer community that we’re cultivating, just I didn’t share in my opening remarks, but we have user group sessions happening all over the world and extremely well attended by our customer community members and many of them step up literally and, say, look, we’d like to be the ones that are first to use this. We’re at a place where in our Coupa journey where we have the bandwidth to begin to turn on more people in this area. We’re at a level of maturity, where we’d like to try these capabilities. In some cases, there are more people interested then they’re willing then we’re willing to take on. So, it’s a wonderful problem to have, but there is, no signs to it. We’ve kind of work with the community to pick the right folks and engage with them to effectively represent the community in that early stage process.
Operator: Your next question comes from the line of Chris Merwin from Goldman Sachs. Your line is open.
Chris Merwin: Okay. Thanks for taking my questions. So just one more follow-up on Invoice payments. I think we’ll probably hear more about this in a few weeks, but is there any thoughts you can share about how it might be monetized whether it’s on a subscription basis or percentage of spend under management? Obviously, the growth we’re seeing there in spend under management is accelerating, so just curious how you’re thinking about it? And I just had a quick follow-up. Thanks.
Rob Bernshteyn: Yes. Thank you, Chris. So, we see value both from a subscription perspective as well as the transactional components. And so, we are working with both of those dimensions to right size the pricing to be commiserate with the value that we’re delivering. So this is one of those capabilities that is not sure transactional and it’s not purely annual subscription, it’s a combination of the two and it’s in our hands to figure out the way to continue to be on the same side of the table with our customers, but at the same time make sure that we’re fairly monetizing the value that we’re creating.
Chris Merwin: Okay, great. And then like when you originally guided to the 1Q, you talked about a 300 basis point headwind from a fewer number of days in the quarter, was that still the case in terms of what you saw, I guess, we think about an apples-to-apples subscription revenue growth number? Is that fair to say it’s 300 basis points higher perhaps than what was reported?
Rob Bernshteyn: In our guidance, there’s 89 days enough to get into the miniature of that in Q1 versus Q4, so when you look at the exit rate of Q4 from a subscription perspective, it is about 300 basis points lower and that played out exactly as we had contemplated when we gave guidance for Q1.
Operator: Your next question comes from the line of Terry Kiwala from First Analysis. Your line is open.
Terry Kiwala: Congratulations on a great quarter. My question is on the Exari, the Exari acquisition, and you mentioned that you’re getting a very positive response from current and prospective customers. I’m wondering if you’re getting any feedback from your sales staff, some early signs as to whether the sales cycle maybe shortened or close rates may be increased by way of this additional suite of services? Thank you.
Rob Bernshteyn: Yes. Thank you, Terry. I would say somatically it’s very positive from just about anyone we’ve had any interaction with regarding this news, whether it’d be analysts, our internal sales team, prospective customers and existing customers, because it’s such an obviously synergistic set of capabilities with the right team, the right culture and the right willingness to go on this journey, so generally very positive. Anything that I would share that is specific to one or two individuals is really not statistically significant enough, but I would tell you broadly very positive.
Operator: And your next question comes from Brian Peterson from Raymond James. Your line is open.
Alex Sklar: Great. Thanks. This is Alex Sklar here for Brian. Rob, you talked about accelerating value capture of the go-live. I’m curious how Coupa Advantage has played into that? Are you there is kind of percent of new customers that are taking this or of your total base?
Rob Bernshteyn: Yes. I would tell you that the vast majority of our customers see the value in Coupa Advantage. It’s a key component in the pre-sales effort and we’re seeing it grow at rapid pace in terms of utilization, it’s real hard dollar value that exist as part of being a Coupa community member. We’re very proud of it, it’s growth both domestically as well as now internationally and we think it’s going to be a continued driver for us for many years to come.
Operator: At this time, there are no further questions. This concludes the conference for today. We do thank you for joining us. You may now disconnect.